Operator: Good morning and welcome to the Realogy Holdings Corporation First Quarter 2015 Earnings Conference Call via webcast. Today's call is being recorded, and a written transcript will be made available in the investor information section of the company's website later today. A webcast replay will also be made available on the company's website until May 18. At this time, I'd like to turn the conference over to Realogy's Senior Vice President, Alicia Swift. Please go ahead, Alicia.
Alicia Swift: Thank you, Stephanie. Good morning, and welcome to Realogy's first quarter 2015 earnings conference call. On the call with me today are Realogy's Chairman, CEO and President, Richard Smith; and Chief Financial Officer, Tony Hull. As shown on slide three of the presentation, the company will be making statements about its future results and other forward-looking statements during this call. These statements are based on current expectations and the current economic environment. Forward-looking statements and projections are inherently subject to significant economic, competitive and other uncertainties and contingencies, many of which are beyond the control of management. Actual results may differ materially from those expressed or implied in the forward-looking statements. For those who listen to the rebroadcast of this presentation, we remind you that the remarks are made herein as of today, May 4, and have not been updated subsequent to the initial earnings call. Important assumptions and other important factors that could cause actual results to differ materially from those in the forward-looking statements are specified in our earnings release issued today, as well as in our annual and quarterly SEC filings. Also, certain non-GAAP financial measures will be discussed on this call, and these measures are defined and reconciled to their most comparable GAAP measure in our press release. Now, I will turn the call over to our Chairman, CEO and President, Richard Smith.
Richard A. Smith: Thank you, Alicia, and good morning and thank you for joining our call. Today, we'll discuss our first quarter results, provide an operating update and briefly discuss our views on the housing market. Our first quarter homesale volume growth was stronger than expected. The increases we saw in homesale transaction sides and average sell price in March and the strength of the sales contracts opened in March and April are indicating a healthy spring selling season for the existing homesale market. As shown on slide four, our first quarter guidance had called for homesale transaction volume to increase in the range of 5% to 9%, as compared to the same period last year. We are pleased to report that for the first quarter of 2015, Realogy surpassed this forecasted range and achieved a 10% sales volume increase on a combined basis for our company-owned and franchise business segments. As you can see on slide five that the better than expected volume was a product of the Realogy Franchise Group, hereinafter referred to as RFG, posting a sales volume increase of 10% and NRT's 9% increase. RFG's volume growth was comprised of a 4% increase in transaction sides and a 6% increase in average homesale price, while NRT's volume increases were the result of year-over-year gains in sides and price of 6% and 3%, respectively. On a combined basis, which reflects the blended RFG and NRT totals, Realogy's regional performance was remarkably consistent with 11% year-over-year volume increases in the West, Midwest and the South. Only the weather-impacted Northeast lagged behind and it still posted a 7% volume increase year-over-year. Turning to slide six. Operationally, the first quarter momentum carried over into the second quarter with NRT's acquisition of Coldwell Banker United, Realtors, and the addition of its 60 offices and 2,000 agents in strategic new markets in Texas, Florida, North Carolina and South Carolina. We expect it to be an immediately accretive acquisition that geographically strengthens NRT's presence in the Sun Belt states. The acquisition expands NRT's presence in Texas and Florida, as well as gains entry into new markets in the Carolinas connecting NRT's Eastern Seaboard presence from Maine all the way to Florida. In April, NRT was ranked as the number one residential real estate brokerage company in the United States by the REAL Trends 500 report in both sales volume and transaction sides for the 18th consecutive year. NRT topped the list with about $157 billion in pro forma sales volume and about 317,000 transaction sides. As we outlined at our Investor Day in March, RFG is continuing to execute on its strategic plan to make the proprietary Zap technology available to our franchisees. The Zip development team continues to work at a rapid pace, and we are on track to begin rolling out the integrated Zap technology to our franchisees this summer. We expect to deliver this new offering to approximately 300 franchisees by year-end and to significantly increase implementation in subsequent years, making the Zip solution an essential part of our franchise value proposition. As to franchise sales, RFG added new franchises and sales associates, representing $70 million in franchisee gross commission income during the first quarter, and is managing a strong pipeline of prospective new franchisees. Now let's take a few moments to discuss the current housing market. The National Association of Realtors report on April 22 show that existing home sales jumped in March to their highest annual rate in 18 months. With a seasonally adjusted annual rate of 5.19 million units in March, the pace of existing home sales has increased year-over-year for six consecutive months and is now 10.4% above a year ago. Even more recently, NAR reported on April 29 that pending home sales rose for the third straight month in March and were at their highest level in nearly two years. This pending home sale index also showed an increase of 11% year-over-year versus March of last year. Nationally, we are encouraged to see inventory beginning to build as we move into the seasonally stronger spring housing market. According to NAR's most recent report, total housing inventory at the end of March climbed to 2 million existing homes available for sale, which is a 5% increase from the prior month and up 2% from a year ago. However, the discussion on inventory is more relevant on a local market basis, and as we have said many times in the past, one of the signs of a healthy housing market is when local dynamics drive the business, and the variability in inventory is an example of that as it differs market by market. For example, based on multiple listing service statistics through March 31, the San Francisco and Denver markets have approximately one month of inventory, while Atlanta and Chicago have three and four months, respectively. Minneapolis had a five-month supply of inventory, while the Long Island, New York, market has approximately nine months. The national average is approximately five months of inventory. Now, regarding Washington, D.C. As to the regulatory and legislative environments, we do not see any material, regulatory or legislative issues in the near term. We were encouraged to hear HUD Secretary Castro's public comments as to the likelihood of a new credit-scoring model that will target first-time homebuyers. The dialogue coming from the administration regarding the expansion of the credit box is positive, especially as it pertains to the first-time buyer. To put that in perspective, the Urban Institute recently published research that indicated that if credit standards return to 2001 standards, well before the crisis, an additional 1.2 million qualified homebuyers would have existed in 2013 alone and an incremental 4 million in total for the years 2009 to 2013. Among the other positive trends we see occurring, interest rates in the mortgage market remain near historic lows with the average 30-year fixed mortgage rate recently falling to about 3.8%. That's down from 4.3% a year ago as reported by Freddie Mac. The Mortgage Bankers Association reported that, as a result of Freddie Mac and Fannie Mae's introduction of their 97% LTV program, a reduction in the underwriting standards for jumbo loans and a number of similar changes, its mortgage credit availability index increased 2.3% in March. This may very well improve somewhat given Fannie and Freddie's recent decision to slightly reduce mortgage fees for borrowers with lower downpayments and lower credit scores, which is an encouraging development for first time home buyers. Affordability has improved based on a combination of slowing price gains, lower mortgage rates and improvement in household income. NAR's most recent housing affordability index of 179.0 is within 2 points of the 12-month high and is a 24-point increase from the June 2014 index. NAR also recently reported that the share of first-time home buyers was 30% in March, a 100- basis-point improvement from February and just the third time in the past year that the first-time buyer share was at or above 30%. We are encouraged by the increase in first-time buyer sales. In summary, we are pleased with the progress we have made on our strategic objectives year-to-date. The ZipRealty integration is well under way. Our acquisition strategy continues to deliver the intended outcomes, and our organic growth initiatives are performing as planned. We remain highly focused on taking steps to drive long-term growth and value in our business. Our business model is built for the long term, and we expect our substantial free cash flow to grow as the housing market recovery gains momentum. As we have reminded our shareholders on, virtually, every call since our public offering, the strong free cash flow characteristics of our fee-for-service business model make it possible for management and the board to continue focusing on shrinking the debt on the balance sheet and investing in growth. With that, I'll turn the call over to Tony Hull, our CFO. Tony?
Anthony E. Hull: Thanks, Richard. Turning to slide seven, let me make some comments about the first quarter of 2015. Our revenue of $1.1 billion represents a 5% increase compared to the first quarter of 2014, and that was driven by higher transaction volume at RFG and NRT. Adjusted EBITDA was $70 million, an increase of 32% compared to the first quarter of 2014. Net loss was $32 million compared with $46 million in the prior year quarter. We typically have a net loss in the first quarter of every year since transaction volume is at its annual low, and revenue-generated is insufficient to offset the fixed operating cost of our businesses, as well as depreciation, amortization, interest expense that are all straight lined over the full year. Next, I'll discuss our key revenue drivers for the first quarter on slide eight. RFG homesale sides increased 4% year-over-year in Q1 2015, and average homesale price increased 6%. NRT homesale sides increased 6% year-over-year compared to the first quarter of last year, and its average homesale price increased 3%. Average broker commission rate or ABCR decreased 1 basis point, RFG and 7 basis points, NRT. The NRT ABCR decline in Q1 was impacted by the strength of the high-end price segment, but even more by the level of development sales in New York City like those at 157 in Manhattan. Because Q1 is always NRT's seasonally lowest transaction volume quarter, these development sales, which have a lower ABCR had an exaggerated effect. On a full-year basis, we currently expect NRT's ABCR to be flat to 2014. Now let's look at revenue and EBITDA for the first quarter of 2015 compared to the first quarter of last year as shown on slide nine. RFG revenue increased 5% as the third-party domestic franchise volume increases of 10%, were partially offset by lower international revenue and flat marketing fund revenue in the quarter. RFG EBITDA increased $7 million, primarily due to the higher transaction volume. NRT revenue increased 6% versus the first quarter of 2014 as transaction volume increases of 9% in the period were partially offset by the decline in ABCR. NRT EBITDA increased $4 million, primarily due to a $5 million increase in PHHHL joint venture earnings. Cartus EBITDA was flat, TRG EBITDA increased $2 million, primarily due to higher purchase and refinance volume, as it relates to corporate, excluding $10 million of early extinguishment of debt charges incurred in 2014, expenses went from $15 million to $16 million, an increase of $1 million. Overall, in the face of the income statement shown on table one of the press release, you can see that there was a $14 million increase in operating and general and administrative expenses in the first quarter compared to last year. As discussed at our Investor Day, this was primarily driven by a $12 million increase in employee-related costs, including $6 million of incremental accrued incentive compensation and a $3 million increase in employee-related cost for acquisitions completed after the first quarter of 2014. Turning to slide 10, in the second quarter of 2015, we expect home sale transaction volume increases in the range of 8% to 11% with 5% to 7% coming from sides growth and 3% to 4% from price growth. As the spring selling season unfolds, we expect our aggregate number of homesale transaction sides to increase sequentially from approximately $272,000 in the first quarter to between $400,000 and $408,000 in the second quarter of 2015. Let me briefly talk about the impact the acquisition of Coldwell Banker United will have on drivers. While the acquisition will not change Realogy's aggregate total volume, we expect for the next year the difference between volume drivers for RFG and NRT will be more disparate than they've been in the past. On slide 11, we illustrate what transaction sides and price would have looked like on a pro forma basis had we owned CB United beginning on January 1, 2014. As to our second quarter guidance, RFG's homesale sides growth is anticipated to be below the 5% to 7% range, and its average sales price would be largely unaffected. Conversely, NRT sides growth is anticipated to be approximately double the 5% to 7% forecasted range, and its average sales price change is anticipated to be modestly negative due to the dilutive impact of CB United's lower average sales price as well as other acquisitions completed since last year, such as ZipRealty. With the closing of the first quarter and our visibility into the second quarter, we now expect that full-year 2015 adjusted EBITDA margins will be between 13.8% and 14.3%. This includes the effect of the CB United acquisition together with the previously discussed impact of compensation accruals being recorded a higher rate than the prior year and the incremental full year impact of Zip-related costs. Now, let's turn to cash flow, which is presented on table seven of the press release. The first quarter is our weakest EBITDA quarter and is when many year-end accruals are paid. As a result, we generally report a use of cash in the first quarter in any given year, which reverses significantly as we get into the second quarter and beyond. Nevertheless, cash outflows in the first quarter of 2015 were comparatively lower than they were a year ago at $122 million outflow versus $181 million outflow in the first quarter of 2014. The improvement in free cash flow was mainly due to higher EBITDA, lower cash interest expense and lower bonus payouts. Book interest expense was $68 million in the first quarter of 2015 versus $70 million in the same period last year as the non-cash mark-to-market on our interest rate swaps increased $6 million in the quarter relative to the same period last year. Corporate cash interest was $55 million in Q1 versus $87 million in the first quarter of last year, due to the timing of interest payments, debt repayments and refinancings completed in 2014. Lastly, our net debt-to-adjusted EBITDA ratio was at 4.7 times at March 31. This is up one-tenth of a point from year-end as cash flow was negative for the quarter. We expect this ratio will decline as the year progresses due to the substantial cash generation that occurs over the remainder of the year. Slide 12 provides cash flow guidance for 2015. CapEx is expected to be approximately $85 million in 2015. This includes ZipRealty and facility improvements at Cartus. Corporate cash interest expense is expected to be between $205 million and $215 million, assuming no changes to the current capital structure. Working capital is expected to be a source of $20 million to $30 million, and legacy cash settlements are expected to be a $15 million to $20 million use of cash. Cash taxes are expected to total $15 million to $20 million for 2015. We are pleased with our first quarter financial performance. Transaction volume was stronger than anticipated, and the recent trends bode well for a healthy spring selling season as indicated by our anticipated gains of 8% to 11% in transaction volume for the second quarter. In closing, we remain focused on taking steps to drive long-term growth and value for our shareholders. We expect our substantial free cash flow to improve as the housing market recovery gains momentum. With that, I'll turn it over to the operator who will open this call for Q&A.
Operator: Thank you. Your first question comes from the line of Tony Paolone with JPMorgan. Your line is open.
Anthony Paolone: Hi. Thank you. Good morning. Thanks for the walk between NRT kind of before and after the Coldwell Banker United transaction. I was wondering if you can help just push that into 2Q a little bit to understand how big the dispersion might be between NRT and RFG in that 8% to 11% volume guidance.
Anthony E. Hull: We expect that the net – the overall volume for NRT will be maybe 100, 200 basis points higher than RFG sort of on a relative scale. But where you're going to see the big disparity is, obviously, the unit growth, that NRT is going to be much higher and then there's going to be some – as I said in the script, there's going to be some dilution on price because of the addition of fairly sizable number of sides at a lower average sales price. So, it's – but overall, it's going to be just a little bit higher than RFG on a relative basis
Anthony Paolone: The total volume in NRT in 2Q would be a little bit higher than RFG.
Anthony E. Hull: Right.
Anthony Paolone: Okay. Got it. And then – thanks for addressing the commission rate with NRT. What about on the split? If we look historically from 1Q to 2Q, there is about 100 basis points or so bump up, it looks like, in the payouts. Is that -- with sort of a mix change in acquisitions -- is that something to continue to expect as we go into 2Q and the rest of the year or does something change there?
Anthony E. Hull: No. It generally does go up in the second quarter and we expect that to occur this year as well. So, the acquisitions don't affect that. But again, for the full year, we expect about a 68% split rate for NRT.
Anthony Paolone: Okay. And then, would you care to give us any sort of band of volume that that 13.8% to 14.3%, I think, margin level you gave us ties to?
Anthony E. Hull: Sure. The industry, if you take sort of an average of the five forecasters we look at, they're forecasting about a 7% gain in volume. It actually came down a little bit from Investor Day. But I think a lot of that's because they didn't factor in the first quarter, and they didn't smooth out the full year. But NAR actually has gone up from Investor Day from, I think we're at 11%, then 12%, now they're at 13% for the full year. So, they keep going up, and the other forecasters go down, but the average is about – is 7%. So I think that gives you a sense of where we would be.
Anthony Paolone: Okay. Great. Thank you, guys.
Operator: Your next question comes from the line of Stephen Kim with Barclays. Your line is open.
Stephen S. Kim: Thanks very much, guys. Yeah, I wanted to talk to you a little bit if I could about the better outlook in terms of transaction volume and the relationship that can have with splits. As you know, couple years ago you had some very, very strong transaction volume growth, but one of the things investors were focused on was the fact that splits were rising up to about the 68% level that you're currently at. I was curious if you could talk about your outlook, which has gone up here, the degree to which that has also increased your assumptions, which are embedded in your conversations with your agents. Is it reasonable to think, for example, that the numbers you've given your transaction volume guidance to the Street are fairly consistent with what is embedded in your internal conversations, or are there reasons that that would be materially different? Thanks.
Anthony E. Hull: I think there's a huge gap between individual conversations a manager has with our 44,000 agents or 46,000 agents, I guess, with CB United. And we're really managing a portfolio at the corporate level. So, as we've said before, there's just the nature of the beast is that there is going to be split pressure and competitors, that sort of thing. And we're working hard to offset that natural evolution with a change in the mix of business towards the referral-based Internet lead business. So, that's really how we manage it. I mean, I think the individual manager discussions with agents depends on their performance, where they were last year. They set the bar based – they set a new bar every year. They start at lower level, and they can – they have to achieve. So, I think those are – that's a whole different kettle of fish.
Richard A. Smith: Yeah. This is Richard. The dynamic of managing the agent relationship doesn't change based on volume. It changes based on their individual production, and that occurs annually. So, there's nothing different about how we manage those relationships driven by the volume that is currently forecasted by those who forecast the business. So, we're very comfortable where we are and what we've said about the splits and where we should be by year end.
Stephen S. Kim: Okay. I guess just to clarify that. So, if quarter-to-quarter your commentary about what you think the industry overall may do, if that were to, let's say, go up, you wouldn't necessarily translate that into – we shouldn't necessarily think that that translates into the conversations about where thresholds are set for individual agent and therefore...
Richard A. Smith: Correct.
Stephen S. Kim: Okay. Got it. Thanks. And then the second question relates to your Internet initiatives. Was wondering if you could give us an update on sort of how HomesForSale is doing, if you have any longer-term expectations for what that may do for your business. And maybe if you could also talk a little bit about what you've seen in terms of the ongoing innovation in the industry around the Internet and around some of the initiatives that would be similar to what Zip is working on.
Richard A. Smith: HomesForSale.com, as you know, is consumer-facing website, the intent and purpose of which is to generate leads. So, we've learned a lot and we've made great progress. The NRT technology team, has we think, properly positioned that to eventually generate the lead flow that we think is important to justify the initiative. So, news at 11, we're working hard on that, continuing to make investments and doing all the right things to become the experts we want to be in online lead generation directly from the consumer. As to ZipRealty, Zip is, as we said in our comments, making great progress. Their purpose is to fully automate the process of signing up franchisees. So, instead of a laborious human involvement process to get a franchisee up and operational, we want them to literally be able to just download the software and be up and operational in just a very short period of time, and that's what they're working hard on. We expect that to be fully deployed beginning in June as we've indicated with about 50-plus, maybe a little bit more than that, integrations in June and then we'll rapidly get to about, we hope, 300 by year-end. As to the Web-based environment, I think it continues to be an environment intended to generate leads from consumers, thus, an advertising world not a transaction-based world. So we don't see anything recently introduced to the marketplace would suggest anything's different than that. Zillow and Trulia is an example and others are trying to figure out how to capitalize on lead generation, as any advertiser would. So, I don't – nothing dramatic has changed, and we're staying the course on all of our technology initiatives. And you'll see the progress as we report every quarter.
Stephen S. Kim: Great. Thanks a lot, guys. Appreciate it.
Richard A. Smith: You're welcome.
Operator: Your next question comes from the line of Ryan McKeveny with Zelman & Associates. Your line is open.
Ryan McKeveny: Hi. Thanks and good morning. First question, I just wanted to see if you could give any update on the goals for paying down debt and how you would think about sort of debt reduction over the next year or two versus other opportunities such as some of these acquisitions?
Anthony E. Hull: We're still focused on what we talked about on Investor Day, which is we have $1.3 billion of debt, that either becomes callable or repayable next year. So, $900,000 or $800,000 of that is very expensive debts, so we we'd love to get the interest rate down. It becomes callable in January. So, our intent is to use free cash flow and refinancing opportunities to really reduce our cost of debt. And at the same time, we want to grow the business. So, if opportunistic acquisitions come our way, we would obviously look at them. As long as they meet our requirements, we'd want to do both. So, I think we have enough cash flow to do both and lower our interest expense and reduce our leverage over the next 12, 18 months.
Ryan McKeveny: Okay. Thanks. And second question, in terms of the competitive landscape, can you just describe what you're seeing in terms of some of these discount brokers or flat-fee brokers entering the market, and if anything is differing sort of this cycle versus, historically, what you see out of some of this form of competition entering the market? Thank you.
Richard A. Smith: This is Richard. The discount brokerage models and flat-fee brokerage models have been around for a very long time. Most have had a difficult time attracting the consumer and a very difficult time attracting and retaining agents. So, we watch them. We pay very close attention to every new model. We don't see anyone out there today representing any kind of competitive threat. But nevertheless, we're not – we don't assume anything. We look at everything that comes to market. Some are a little more attractive than others. If there's anything about any emerging model that we think should be adopted, we take advantage of that. But currently, we don't see anything that looks interesting.
Ryan McKeveny: Got it. Thank you.
Richard A. Smith: You're welcome.
Operator: Your next question comes from the line if Mike Dahl with Credit Suisse. Your line is open. Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker) Hi. Thanks for taking my questions. Wanted to start with a question on the guidance for 2Q and, in particular, if you could give us any sense of what the growth you saw in April closed and opens were specifically, I guess, looking at the pendings, I think you'd noted up pretty strongly. So, wondering if you saw double-digit growth and you're expecting it to moderate as the quarter goes along monthly just given some of the tougher comps, or what type of cadence are you seeing to get to your guidance?
Anthony E. Hull: Our guidance is based on April closes and opens that we saw in NRT and RFG, and we don't get into monthly data. But I think the opens give us a good sense of how the quarter is going to play out. I think you sort of alluded to something there that's important is last year we were at a $4.9 million SAR base on existing home sales in Q2 versus $4.7 million in Q1. So, any growth we see in Q2 is going to be off a higher base than Q1 versus Q1 last year. So, you can see that in the NAR numbers, et cetera, that they have a little more modest growth just because there's a higher base they're working off of. So, that's – I think, as the quarter goes on, that's really going to be the interesting challenges going of a higher base from last year. Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker) Great. Okay. And then, I guess shifting gears, a question on just acquisition rationale, wondering how you think about the CB United in particular, just given this was an existing franchise so you had access to high margin revenue stream, that's getting capitalized by the market at a pretty high multiple too. So, how do you balance taking something like that in-house on to the NRT side versus looking at truly incremental acquisitions that would be totally new to the overall umbrella?
Richard A. Smith: This is Richard. The basis upon which we built NRT was an acquisition strategy. You buy in existing markets, large markets where there's a lot of upside, establish a footprint, and then you roll in tuck-in acquisitions that are highly accretive. And we've been doing that since 1997, and this is a continuation of that strategy. So, to be as representative in the Sun Belt states that we think we should be from NRT perspective, you're often blocked by franchisees who are in those markets and as we've said, certainly done a terrific job as in the case of CB United, but they're not capitalizing on the opportunities in those markets, either because they don't have the capital or the intent. So, we – as you know, based on our many acquisitions, we fully intend to do that. So, we had to establish a strong presence in the Sun Belt states. We think Texas, in particular, is one of the population growers and income growers, just could be one of the best housing markets in the country for, we think, decades to come. So, we had to be in that market, and we had to buy a franchisee to do it. So, it's very much in keeping with the original strategy. Nothing's changed, and we see this as being a continuation of that strategy so. Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker) Okay. Great. That's helpful. Thank you.
Richard A. Smith: You're welcome.
Operator: Your next question comes from the line of David Ridley-Lane with Bank of America. Your line is open.
David E. Ridley-Lane: Sure. So, Richard, the – before you cited in the script around what credit standards returning to your pre-crisis levels would bring in terms of additional buyers. Based on few of the banks and some of the improvements in regulations, is 2015 a year where the overall market sees some of that benefit from credit standard normalization or is this potentially more of a 2016 type of story?
Richard A. Smith: It's hard to say what 2016 might be, but what's important about 2015 is the dialogue. So, there's a continuation of let's expand the credit box and you're hearing that from the administration, not as much from the regulators, but that, I think, is coming in time. And I think 2015 is starting to show some upside as a result of that. So, credit standards are slightly more practical, nowhere near being normal. I think it is starting to look a little better for the first-time buyer and as you've heard us and others say, to have a robust housing recovery, the first-time buyer needs to be more active. So, I think we're starting to see that, so I'm encouraged and I think others are as well.
David E. Ridley-Lane: And then according to the NAR data that the first-time buyers are ticking up and conversely, the mix towards investors is down. Could you speak to your kind of relative market share among the first-time buyers? Is that significantly higher than versus, say, investors?
Richard A. Smith: I don't know what our market share is of first-time buyers except by market. And in the aggregate, one could argue that our national market share should be somewhat indicative where we might be in first-time buyer too. I don't know the answer to that. I don't think we have an answer to that. I do know this that the first-time buyer, more often than not, is looking for that starter home, and that is often new construction for a variety of different reasons. I think Horton recently, one of the builders, announced that they didn't understand why people are concerned about first-time buyers because all of their first-time buyer inventory was selling as quickly as they could build it. That's our point exactly. If the builders would build more first-time buyer product, we're confident it will sell and we're starting to see the indication of that. So, I think coming out of where we've been, this is going to be a slow process, but it is happening. So, with job confidence and income growth and job creation, I think the first-time buyer will be more active in the next several years than they have been in the past six.
David E. Ridley-Lane: Okay. And if I could – just a quick one for Tony. Does the uptick in refinancing change your thinking around the TRG or the PHH contribution in 2015? Thanks.
Anthony E. Hull: No. It's pretty insignificant, so it doesn't change our view.
David E. Ridley-Lane: Thank you very much.
Anthony E. Hull: Thanks.
Richard A. Smith: You're welcome.
Operator: Your next question comes from the line of Jason Deleeuw with Piper Jaffray. Your line is open.
Jason S. Deleeuw: Yeah. Thanks and good morning. Question on the margin guidance. You narrowed the range to low end and the high end, and I was just wondering what brought down the high end of the margin guidance? Is it simply a narrowing of the volume growth expectations? Because it looks like you guys are running at the high end of the volume range for the margin guidance. I'm just wondering what brought that high end down.
Anthony E. Hull: Again, the industry average is 7%. So, we think for the year having 9% to 11% growth is probably not in the cards; it may be. But as the year progresses, we think, given the average at 7%, we probably won't hit that range.
Jason S. Deleeuw: Okay. And then the EBITDA addition from Coldwell Banker United -- could you help us understand how material that would be for the full year?
Anthony E. Hull: Sure. It'll be about $10 million. Half of it at RFG, half of it at NRT.
Jason S. Deleeuw: Good. And then you guys grew a little bit slower than the industry this quarter. Do you think it's simply – in terms of volume -- do you think it's simply that the NAR estimates maybe just need to be adjusted, might be a little too high, or do you think maybe there was a little bit of share loss in the quarter?
Anthony E. Hull: No, no, no. We didn't have share loss in the quarter. The first quarter is – the NAR numbers – our comparison to NAR numbers are all over the place. If you compare – if you look at the first quarter of 2014, we grew RFGs, in particular, which has a national footprint, grew 9% in volume and NAR was up 2%. So we exceeded their volume by 7% and we ended up exceeding them by 2% or 3% at the end of the year. So, it's just – and this year, we're making up – they're making up for it a little bit. So, it's really hard. It's hard with their SAR adjustments in the first quarter to get any good pattern; you really have to go out more quarters than that. You have to – you need a full year. You definitely need second and third quarter under your belt to get a true sense of how we're doing, but market share loss is not on the list of our concerns.
Jason S. Deleeuw: Great. Thank you for the update.
Operator: Your next question comes from the line of Amanda Kent (sic) [Steve Kent] (39:50) with Goldman Sachs. Your line is open.
Steven E. Kent: Hi. I'm not sure who – but it is Steve Kent, Goldman Sachs.
Unknown Speaker: We thought it would (40:01)
Steven E. Kent: Whatever.
Anthony E. Hull: No quite sure (40:15) why it said Amanda Kent, but it did.
Steven E. Kent: It's okay. I'm good with that if that's what you guys want to call me. So, can you just talk a little bit about – you talked a little bit about the own business moving into some of the Sun Belt states and where the average home prices are lower. Can you just talk about how that could affect more of your operational leverage and give us some more guidance on that? And then you did talk a little bit about how many people or operators you're rolling Zip out to, but you didn't tell us which specific markets; I'm not sure if you're able to tell us that. And then my third question is just on the regional side. You gave us some color on inventory, but for California, Florida, New York, your key markets, Texas too, what kinds of things are you hearing on the ground there from just a volume perspective?
Richard A. Smith: Let me just address Zip. It's fairly broad. We have about 500 franchisees in the queue. So, they've actually said, put me on the list, which is remarkable given the number of franchisees we have. We'll start with 50 then we should get up to a deployment schedule of about 100 a month. And they literally are broad. They're in virtually every market in the country. So, there's no market concentration at all, which is the way you would want it. So, we're very encouraged by that. Looks good. We're anxious to get started and we will in June. So, news at 11, but it looks – it's exactly as we had indicated previously.
Anthony E. Hull: I think, Steve, the bigger distinction is that we are – we're first going after the smaller franchisees because they are less likely to have an entrenched system that we have to replace. So, I think it's more – we're starting with the smaller franchisees who can benefit from this system quicker and it's easier to implement. So, that's really where the prioritization lies as opposed to geography. I think on the operational leverage question for the CB United, as Richard mentioned earlier in the call, the biggest opportunity for that acquisition is that we are in markets that we think we can consolidate and grow with tuck-in acquisitions now that we have a presence in those markets. So, in Austin, Texas, or a Charlotte, now, we've never been in those markets from a brokerage standpoint. Now, there's opportunity to make brokerage tuck-in acquisitions in those markets. So, I think that's where the leverage – a lot of leverage and synergies are going to come from in those markets, so – in those new markets for us, and we have many examples of where we bought a small operation in a market like in Philadelphia, and then we tripled its size through very small tuck-in acquisitions, and that's where we got the leverage in those markets. And then on your regional – just the regional question you had, I think for NRT specifically, I think where we're seeing some good growth is in the Midwest is strong. Southern California is strong. The tri-state area, once it got out of its weather doldrums, really picked up. So, we're seeing pretty good volume growth across different regions. The other thing I'm sort of – that's interesting about this market is that we're seeing a combination of good demand and low inventory, but there's enough inventory – there seems to be enough inventory to satisfy some of the demand, but you're seeing pretty strong price increases as well as sides increase at the same time. So, that's a little different than we expected the market to pan out. We expected higher sides and a little more pressure on price, but we're really seeing the best of both worlds, which is good demand and good price increase this year and it's a little different than we expected.
Steven E. Kent: Okay. Thank you.
Anthony E. Hull: You're welcome.
Operator: Your next question comes from the line of Brandon Dobell with William Blair. Your line is open.
Brandon B. Dobell: Thanks. Good morning. Maybe you could comment on agent recruiting in NRT, and maybe even franchise sales over at RFG in the U.S., how's the momentum going and it's – especially in franchise sales, are you seeing people change their decision process based on your communication of timing for technology initiatives?
Richard A. Smith: No, not yet. I mean as I communicated in the first quarter, we sold about $70 million in GCI, gross commission income. Our goal for the year is $300 million. We believe that's an achievable goal. We expect to outperform that or at least we hope we will. We don't see anything's changed. No material change as to how people determine whether or not they want to affiliate with one of our brands. Technology is starting to enter the discussion in a very meaningful way, primarily because of the announcement. Now, it's part of our value proposition. People are anxious to see what it might do to enhance their business. So, we went from an environment where the prospective franchisee had to deal with technology on their own to, gee, how can my franchisor enhance that and improve it, and is it an important part of the value proposition. All that is clearly stated in the Zip acquisition, and it's becoming a bigger part of the dialogue. Now, it's going to become more relevant as our existing franchisees start rolling over into the Zip platform. And I think that's going to be a very important event for us because that's going to make it clear in the marketplace that to be meaningful as a franchisor in this industry, you have to provide an important technology platform as part of the value proposition. Those who are not are going to be substantially disadvantaged, and that's our goal at the end of the day. So, we're encouraged by what we've seen in the dialogue, and I think it's going to show up in our franchise sales numbers. As to agent recruiting, it's pretty much as – we're experts at that. We've been doing it a long time. We're not focused on head count. We really don't care about head count. We care about production. And NRT and the NRT management team does an excellent job of recruiting producing agents and our franchisees do the same. So, there is no material change as to how we recruit or what the recruiting numbers look like.
Brandon B. Dobell: And then maybe taking that segue for a second into acquisitions, how important is technology when you're discussing a deal with a potential target and has that conversation changed since this deal? Does it make people more or less likely to initiate or even to continue a conversation?
Richard A. Smith: Well, I think what – especially independent operators who have come to realize is that technology and the capital necessary to invest in technology is an increasingly important part of the business. Some are ill-equipped to deal with that, so it may, in many instances, result in the acceleration of the decision to exit the business and align with someone like us. We certainly think that's the case, and it's becoming more and more obvious that to be in this business, technology, now it's transactional. It can be technology that makes you a better marketer. It can be technology that makes you run the business better and more efficiently than you would have otherwise. And Zip helps accomplish both of those. So, listen, it's an important part of the dialogue, and that will continue to be the case. So, we've bought great tools. It's a great asset, and we expect to fully capitalize on it, and we are.
Brandon B. Dobell: Okay. Thanks a lot.
Richard A. Smith: Yeah. You're welcome.
Operator: And your last question comes from the line of Will Randow with Citigroup. Your line is open.
Will Randow: Hey. Good morning and congrats on the quarter.
Anthony E. Hull: Thanks.
Richard A. Smith: Thank you.
Will Randow: In regards to, I guess, number one, recent acquisitions, and I apologize if I missed it, but how additive to that the EBITDA was that? I imagine you paid your typical range around, I'll call it, 5 times EBITDA and really how do you get to that calculation? Is that on next year's EBITDA or how should we think about that?
Anthony E. Hull: It's generally the seller's trailing 12-month EBITDA. But it...
Will Randow: Yeah.
Anthony E. Hull: ...the first quarter – there wasn't much impact in the first quarter from acquisitions. Most of the impact we're going to see – the CB United acquisition is going to have a major impact – more of a significant impact as the year progresses.
Will Randow: And can you talk about how that's impacted sides around the two segments, going forward, in particular?
Anthony E. Hull: Sure. We put a pro forma in, I think, it's table 11...
Alicia Swift: Slide 11.
Anthony E. Hull: Slide 11. So, that should show you can see it has a modest impact on RFG. If we'd owned it as of January 1, 2014, it take sides down about 2% at RFG but – versus what they did. At NRT, you can see it take sides up about 8% versus their 2014 numbers without the pro forma. But it impacts – it dilutes price by about 4% because they have – because of their location they have a lower average sales price. So, net-net, it would have increased NRT's volume about 4% had we owned it as of Jan 1, 2014.
Alicia Swift: Will?
Anthony E. Hull: Will, did we lose you?
Richard A. Smith: Did we lose you, Will?
Operator: It looks like his line has disconnected.
Anthony E. Hull: Well, okay.
Alicia Swift: All right. Well, we thank you for taking the time to join us on the call. Thank you.
Operator: This concludes today's conference call. You may now disconnect.